Operator: Good morning, and thank you for joining us for Marine Products Corporation Fourth Quarter and Year-End 2011 Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. [Operator instructions] I would like to advise everyone that this -- in this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer. 
Jim Landers: Thank you, and good morning. Before we get started today, I would like to remind everyone that we are going to be discussing things that are not historical facts. Some of the statements that will be made on this call will be forward-looking in nature, and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, the 2010 10-K, and other SEC filings that outline those risks, all of which are available on our website at www.marineproductscorp.com.
 In today’s earnings release and conference call, we'll be referring to net income excluding other income, and diluted earnings per share excluding other income, which are non-GAAP measures of operating performance. Marine Products uses these measures because they allow us to measure our operating performance consistently over various time periods. Our press release today and our website provide a reconciliation of net income excluding other income, and diluted earnings per share excluding other income to net income and diluted earnings per share, which are the nearest GAAP measures. Please review that disclosure if you're interested in seeing how it's calculated.
 If you've not received our press release for any reason, please call us at (404) 321-7910, and we will fax or e-mail one to you immediately. We will make a few comments about the quarter, and then we'll available for any questions.
 Now I will turn the call over to our President and CEO, Rick Hubbell. 
Richard Hubbell: Jim, thank you. We issued our earnings press release for the fourth quarter of 2011 this morning. Ben Palmer, our CFO, will discuss the financial results in more detail in a moment. But before he does, I'm going to discuss our operational highlights.
 First our net sales increased by 34% during the fourth quarter compared to the fourth quarter of 2010. The increase in net sales was primarily due to an increase in the number of boats sold. Unit sales increased among most of our product lines, and also increased due to sales of Chaparral’s H20 Fish & Ski Boats and entry-level Robalo offshore sport fishing boats, both of which are new for the 2012 model year.
 Gross profit and operating income improved compared to the prior year due to increased efficiencies, resulting from higher production and SG&A leverage. Our net income, excluding other income, was $1.6 million for the quarter, a significant increase compared to the fourth quarter of last year. Our diluted earnings per share excluding other income, was $0.04 for the quarter, compared to $0.01 in the fourth quarter of 2010.
 The quarter was highlighted by strong consumer reception to our new entry-level Chaparral and Robalo models. 
 Our Board of Directors declared a $0.02 per share regular quarterly cash dividend at its meeting yesterday. This represents a restatement of and an increase to our $0.01 per share quarterly dividend, which we last declared in January 2009.
 At this time Ben Palmer will provide a financial review for the quarter. 
Ben Palmer: Thank you, Rick. For the quarter ended December 31, 2011, Marine Products Corporation generated net sales of $27.9 million, a 34.2% increase compared to $20.8 million in the fourth quarter of last year. This increase in net sales was due to a 37.4% increase in units sold, partially offset by a slight decrease in average selling prices per boat.
 Average selling prices decreased slightly due to a shift in model mix in response to strong demand, in particular for smaller boats. For the quarter ending December 31, 2011, we reported net income of $3.6 million compared to net income of $468,000 last year. Our diluted earnings per share for this quarter were $0.10 compared to $0.01 in the prior year quarter. Net income, excluding other income for the quarter, which I will discuss more in a moment, was $1.6 million or $0.04 diluted share.
 Our sales to dealers increased due to healthy dealer inventory levels going into the boat show selling season, as well as favorable indications regarding consumer demand. International sales comprised 22.1% of consolidated net sales for the fourth quarter of 2011, a decrease compared to 30.5% of consolidated net sales in last year’s fourth quarter.
 For the full year of 2011, International sales decreased from 30.5% of consolidated net sales to 21.4%. In dollars, our international sales decreased by 26% in 2011 compared to 2010. Many of our international dealers are located in Western Europe, where consumer confidence is lower as a result of Europe’s current financial uncertainty.
 Gross margin was 19.7% of net sales for the quarter, compared to a gross margin last year of 17.3%. Gross margin improved primarily due to higher production levels in most of our models, which led to increased production efficiencies, including leverage of fixed overhead costs. The average selling prices on our new H20s and the smaller Robalos are lower than our historical averages among all of our models. However, the high production levels of these new models have achieved one of our intended objectives, that is, to generate improved profitability.
 Selling, general and administrative expenses increased by 8.3% in the fourth quarter of 2011 compared to the prior year, and were 12.3% of consolidated net sales. This increase was due to increases in incentive compensation and sales commission expenses, which vary with sales and profitability. This increase was offset, however, by lower warranty expense. Our warranty expense has improved over the past several quarters due to a favorable trend in warranty claims.
 Interest income in the fourth quarter was 256,000 or 13.5% lower than the fourth quarter of 2010 due to lower market returns on our marketable securities investments, partially offset by higher marketable securities balances during the quarter. During the fourth quarter of 2011, Marine Products Corporation reported other income of $2 million, and did not have a similar item in any previously reported period.
 This other income item is a non-taxable gain on a benefit plan financing arrangement for our supplemental retirement plan. We have excluded it from our discussion of net income and diluted earnings per share today because it does not relate to our operating results. Furthermore, we do not anticipate similar gains of this magnitude will occur frequently in the future.
 Turning to the balance sheet. We continue to maintain a strong and liquid balance sheet with a growing cash and marketable securities balance. At the end of the fourth quarter, our cash and marketable securities balance totaled $55.1 million, a $2.7 million increase compared to last year. Compared to the third quarter of 2011, however, our cash and marketable securities balance declined by $5.9 million, partially due to a $1.8 million sequential increase in inventories. Our inventories increased because we purchased raw materials and key components to minimize the impact of annual price increases from our vendors, and to prepare for higher production volumes.
 At the end of the quarter, our production levels, our order backlog, and dealer inventories reflected strong dealer demand as we enter the retail selling season. Our scheduled production is higher than at this time last year, and it supports a much higher backlog coupled with that reasonable dealer inventory level.
 So with that, I'll turn it back over to Rick for a quick summary. 
Richard Hubbell: Thank you, Ben. The 2012 winter boat show season is underway, and the early results are generally positive. Industry reports discussed increased attendance at most shows. In the shows in which we were represent we noted increased consumer interest in sales closures, which are generally good signs for the upcoming retail selling season.
 As we stated last quarter, we are particularly optimistic about our Chaparral H20 and Robalo 180 and 200 models. Our favorable dealer reception at our annual dealer conference has been followed by strong consumer interest in the early 2012 winter boat shows. We believe that these products are strong contenders for a large share of the entry-level market for high-quality recreational boats for value-conscious consumers.
 We'd like to thank you for joining us this morning, and we'd be happy to take any questions you may have. 
Operator: [Operator instructions] And we'll go first to Jimmy Baker from B. Riley & Co. 
Jimmy Baker: It sounds like you expect the mix towards smaller boats to perpetuate here into calendar year ’12, and I’m just interested if you have a good read on if those buyers are trading in for these entry-level models or are first-time new boat buyers. 
Jim Landers: Jimmy, it's a good question. We haven’t -- we've only got a quarter or 2 under our belt of selling these, so I'm afraid that is a data point we don’t have. 
Jimmy Baker: Okay, fair enough. And I’m also interested to the extent that you can comment on I guess what seems to be kind of an increasingly litigious environment that's placing less responsibility on the operator and maybe some more liability with the manufacturer. 
Ben Palmer: Well, we're aware of the lawsuit that's recently been filed. There's certainly been lots and lots of court cases. And we'll just have to see where that goes. We ourselves have not been subjected to that many of these types of claims, but they do happen. So we'll just have to see what happens. 
Operator: [Operator instructions] And, sir, at this time we have no further questions. So I would like to turn the call back over to you for any closing comments. 
Jim Landers: Okay. Well, thank you. We appreciate people listening today, and we appreciate the time. Everyone have a good day. Thanks. 
Operator: That does conclude today’s conference. We thank you for your participation.